Executives: Matthew Stroud - Former Vice President of Investor Relations C. Bradford Richmond - Chief Financial Officer, Principal Accounting Officer and Senior Vice President Andrew H. Madsen - President, Chief Operating Officer and Director Clarence Otis - Executive Chairman, Chief Executive Officer and Chairman of Executive Committee
Analysts: Brad Ludington - KeyBanc Capital Markets Inc., Research Division Michael Kelter - Goldman Sachs Group Inc., Research Division David Palmer - UBS Investment Bank, Research Division David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division Will Slabaugh - Stephens Inc., Research Division Joseph T. Buckley - BofA Merrill Lynch, Research Division Alvin C. Concepcion - Citigroup Inc, Research Division Jeffrey Andrew Bernstein - Barclays Capital, Research Division John S. Glass - Morgan Stanley, Research Division Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division Mitchell J. Speiser - The Buckingham Research Group Incorporated John W. Ivankoe - JP Morgan Chase & Co, Research Division Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division Brian J. Bittner - Oppenheimer & Co. Inc., Research Division Sara H. Senatore - Sanford C. Bernstein & Co., LLC., Research Division Keith Siegner - Crédit Suisse AG, Research Division Bryan C. Elliott - Raymond James & Associates, Inc., Research Division
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Darden Restaurants Third Quarter Earnings Release. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Matthew Stroud. Please go ahead.
Matthew Stroud: Thank you, Robert. Good morning. With me today are Clarence Otis, Darden's Chairman and CEO; Drew Madsen, Darden's President and COO; Brad Richmond, Darden's CFO; and Gene Lee, President of Darden's Specialty Restaurant Group. We welcome those of you joining us by telephone or the Internet. During the course of this conference call, Darden Restaurants' officers and employees may make forward-looking statements concerning the company's expectations, goals or objectives. Forward-looking statements are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of the date on which such statements are made, and we undertake no obligation to update such statements to reflect events or circumstances arising after such date. We wish to caution investors not to place undue reliance on any such forward-looking statements. By their nature, forward-looking statements involve risks and uncertainties that could cause actual results to materially differ from those anticipated in the statements. The most significant of these uncertainties are described in Darden's Form 10-K, Form 10-Q and Form 8-K reports, including all amendments to those reports. These risks and uncertainties include food safety and food-borne illness concerns; litigation; unfavorable publicity; federal, state and local regulation of our business, including health care reform, labor and insurance costs, technology failures, failure to execute a business continuity plan following a disaster; health concerns including virus outbreaks; the intensely competitive nature of the restaurant industry; factors impacting our ability to drive sales growth; the impact of the indebtedness we incurred in the RARE acquisition; our plans to expand our newer brands like Bahama Breeze and Seasons 52; our ability to successfully integrate Eddie V's restaurant operations; a lack of suitable new restaurant locations; higher-than-anticipated costs to open, close or remodel restaurants; increased advertising and marketing costs; a failure to develop and recruit effective leaders; the price and availability of key food products and utilities; shortages or interruptions in the delivery of food and other products; volatility in the market value of derivatives; general macroeconomic factors, including unemployment and interest rates; disruptions in the financial markets; risks of doing business with franchisees and vendors in foreign markets; failure to protect our service marks or other intellectual property; a possible impairment in the carrying value of our goodwill or other intangible assets; a failure of our internal controls over financial reporting or changes in accounting standards; and other factors and uncertainties discussed from time to time in reports filed by Darden with the Securities and Exchange Commission. A copy of our press release announcing our earnings, the Form 8-K used to furnish the release to the Securities and Exchange Commission and any other financial and statistical information about the period covered in the conference call, including any information required by Regulation G, is available under the heading Investor Relations on our website at darden.com. We plan to release fiscal 2012 fourth quarter earnings and same-restaurant sales for fiscal March, April and May 2012 on Friday, June 22, 2012, before the market opens with a conference call shortly after. We released third quarter earnings results this morning. These results were available on PR Newswire and other wire services. We recognize that most of you have reviewed our third quarter earnings, so we won't take the time to go through them in detail once again in an effort to provide more time for your questions. We will offer a line item summary of the P&L, discuss our financial outlook for fiscal 2012 and discuss our brand-by-brand operating performance summary.  To begin, Brad will provide detail about our financial results for the third quarter. Drew will review the operating performance of our brands, and Clarence will offer some closing comments. We will then respond to your questions.  With that, let me turn it over to Brad to walk you through the financial details for the quarter.
C. Bradford Richmond: Well, thank you, Matthew, and good morning, everyone. Darden's total sales from continuing operations increased 9.3% in the third quarter to $2,160,000,000. This strong top line performance compares to an estimated 4.1% total sales growth for the industry, excluding Darden, as measured by Knapp-Track. So we had meaningful market share growth. On a blended same-restaurant sales basis, the results for Red Lobster, Olive Garden and LongHorn Steakhouse were up 4.1% in the third quarter. And this compares to industry same-restaurant sales as measured by Knapp-Track and, again, excluding Darden, that were estimated to be up 2.6% for the quarter. And we also saw continued strong same-restaurant sales gains in our Specialty Restaurant Group with 5.8% same-restaurant sales growth on a blended basis. Traffic at Red Lobster, Olive Garden and LongHorn Steakhouse this quarter was strong, up 2.3% on a blended basis, driven by successful promotions, remodeling and other brand enhancements. This compares to industry same-restaurant sales traffic as measured by Knapp-Track, and excluding Darden, that's estimated to be down 0.2% for the quarter. We are particularly pleased that Olive Garden's same-restaurant traffic outperformed Knapp-Track by approximately 180 basis points this quarter, an acceleration from the 70 basis points positive spread in the second quarter. We estimate that less severe winter weather this quarter positively affected blended same-restaurant sales by approximately 200 basis points. This impact was nearly the same for each month in the quarter. There was also a benefit from the earlier start of the Lenten season. We estimate that for the third quarter, the blended same-restaurant sales results were positively affected by approximately 60 basis points due to the earlier start of the Lent season and Lobsterfest.  Brand by brand, Red Lobster same-restaurant sales were positively affected by approximately 480 basis points in February, while LongHorn Steakhouse same-restaurant sales were adversely affected by approximately 40 basis points in February. There was no impact to Olive Garden’s same-restaurant sales related to Lent.  Food and beverage expenses for the third quarter were approximately 175 basis points higher than last year on a percentage of sales basis. About 80% of that unfavorability was expected based on the inflationary food cost environment and our decision to price below inflation. For the third quarter, restaurant labor expenses were approximately 100 basis points lower than last year on a percentage of sales basis due to sales leverage and improved wage rate management. The favorability for the quarter was consistent with our expectations. Going forward, though, we do not expect to see the same level of favorability we have experienced the last 4 quarters as both Red Lobster and Olive Garden have now lapped the one year implementation date of the labor optimization initiative. Restaurant expenses in the quarter were approximately 20 basis points lower than last year on a percentage of sales basis despite higher preopening expense related to opening 8 more restaurants in the third quarter this year compared to last year.  Selling, general and administrative expenses were approximately 70 basis points lower than last year as a percentage of sales due to sales leverage and lower year-over-year incentive compensation that more than offset higher media expenses. Depreciation expense in the quarter was essentially flat on a percentage of sales basis compared to last year. For the quarter, operating profit as a percentage of sales was 11.4%. That's about 10 basis points higher than last year despite higher commodity costs on a year-over-year basis that we chose not to fully price for.  Our tax rate this quarter, at 24.7%, was approximately 90 basis points higher than the prior year, driven partially by our increase in earnings before taxes. We estimate our annual effective tax rate will be approximately 25%, which is about 100 basis points below last year's effective tax rate. This lower effective tax rate is a result of several tax planning initiatives and increases in available tax credits from the FICA tip credit and the solar energy credits related to our recently installed solar array at our Restaurant Support Center. Now I'd like to take a moment and discuss our margin performance this quarter. I know there was some confusion stemming from our discussion of margins at our recent Analyst Meeting in February. We often speak to margins at 3 different levels. One is the margin per guest, which we look at as the margin after food and labor expenses. We also look at restaurant level margins, which broadly speaking, is margin after food; labor; restaurant expenses; marketing or the selling expense; depreciation expense, but excludes preopening expense; implied interest costs in our rent payments and rent averaging; as well as general, administrative expenses. And also, we talk about EBIT margins or operating profit margins, which include all of those expenses. Our ultimate goal from a financial perspective is to grow EBIT margins or operating profit margins. As we said last month, we managed EBIT margins and have done so for a number of years. Our long-term goal is to grow EBIT margins approximately 200 basis points or 40 to 50 basis points a year from the 9.9% we reported in fiscal 2011 to approximately 12% in fiscal 2016. Now at times, we may target lower margins per guest through a particular promotion, recognizing that promotions may drive much higher guest counts, leveraging our food fixed cost and restaurant expenses, selling, general and administrative expenses as well. If done successfully, this should lead to higher restaurant level margins and EBIT or operating profit margins. In the third quarter, our total company operating profit margins increased approximately 10 basis points compared to the prior year despite dramatic increases in commodity costs that led food and beverage expenses to be 175 basis points higher on a year-over-year percentage of sales basis. All of the large brands and the Specialty Restaurant Group saw absolute dollar operating profit margins increase this quarter.  Olive Garden delivered operating profit margin growth and operating profit growth resulting from same-restaurant sales traffic driven by their 2 promotions, including the 3-course Italian dinner for $12.95. That was neither a deep discount nor eroded profitability. Only Red Lobster experienced a decline in operating profit margin percent but still managed to increase in total operating profit. So we were pleased that we were able to grow EBIT margins on a percentage and absolute dollar basis this quarter, even as we featured several price point promotions at our 3 larger brands. Now turning to the -- our financial outlook. For the full fiscal year, we expect combined same-restaurant sales growth from Red Lobster, Olive Garden and LongHorn Steakhouse of approximately 2.5% to 3%, and we continue to expect net new restaurant increase of approximately 85 to 90 restaurants, excluding the purchase of Eddie V, which is about 4.5% unit growth on our current base and approximately 4.0% growth in operating weeks or capacity for fiscal 2012 given the timing of those openings. With these same-restaurant sales assumptions and new restaurant growth plans, we anticipate a total sales increase for the year of between 7% and 7.5%. Today, we also affirm that we anticipate that reported diluted net earnings per share from continuing operations for fiscal 2012 will be between 4% and 7%. This outlook implies double-digit earnings growth for the fourth quarter. We recently offered a thorough update of our commodities outlook at our recent Analyst Meeting in New York City. So I won't go into any additional details about our coverage, other than to say we have approximately 85% of our total food spend contracted through the end of the fiscal 2012. If you have any questions about our commodities outlook for fiscal '13, please review the slides from our Analyst Meeting, which can be found on our website at www.darden.com under the Investor tab. And now I'll turn it over to Drew to comment on Red Lobster, Olive Garden, LongHorn Steakhouse and the Specialty Restaurant Group.
Andrew H. Madsen: Thank you, Brad. And as has already been mentioned, we are certainly pleased with the results for the third quarter across all of our large brands and the Specialty Restaurant Group. We recognize that less severe winter weather benefited our brands this quarter. However, we also believe that many of the strategic initiatives we launched have also positively affected our third quarter results and should continue to do so in the quarters to come.  Olive Garden same-restaurant sales were up 2% during the third quarter, roughly 60 basis points below the full-service restaurant industry benchmark. However, this is a sharp improvement from the 320 basis point shortfall in the second quarter. During the third quarter, Olive Garden featured 2 new promotions. The first was Baked Pasta Romanas, which ran from December through the third fiscal week of January and offered guests unique and indulgent comfort food during the seasonally appropriate time period. We believe this promotion was meaningfully stronger than the scaloppini promotion featured last year and helped Olive Garden’s same-restaurant traffic outperform the Knapp-Track benchmark in both December and January. Same-restaurant sales performance stabilized in December and turned positive in January but trailed the industry due entirely to the check at Olive Garden being down roughly 50 basis points versus the implied industry check being up 2 to 3 percentage points. In the fourth fiscal week of January, Olive Garden launched the 3-course Italian dinner for $12.95. This promotion featured 5 new entrées specifically designed for this price point and included soup or salad, plus the choice of 1 of 6 individual-sized desserts. This promotion, combined with appetizer and nonalcoholic beverage news, contributed to solid same-restaurant sales growth during February versus the prior year that also exceeded the industry benchmark.  Now this promotion is representative of our strategy going forward, where we plan to emphasize a broadly appealing platform idea rather than just 1 or 2 new dishes. Many of these promotions will include an advertised price point, but not all. As we discussed in February at our Analyst Meeting, we continue to view Olive Garden as a business where the vast majority of fundamentals remain competitively strong from average unit volumes and restaurant level profit margins to brand perception and employee retention. We believe the primary cause of our same-restaurant sales softness during the past year or so has been a narrowing in the value leadership advantage Olive Garden enjoyed versus other large brands in the industry. Going forward, Olive Garden is focused on strengthening their value leadership competitive advantage by improving affordability for their more economically challenged guests while also updating and evolving key elements of the guest experience to meet the increasing quality expectations that all guests have, especially more economically stable guests. As a result, over the next several months, you should expect to see a continuation of our new promotional strategy, advertising that is more product- and promotion-focused and has a more overt value message, as well as more affordable core menu dishes. Operationally, the restaurant teams at Olive Garden are focused on reducing false weights to more effectively capture the guest demand they each have. We believe these initiatives will help build on our same-restaurant sales trends. At the same time, we continue to work on even more meaningful changes, including a new advertising campaign that features a more genuine and relevant communication of the idealized Italian family meal promised by Olive Garden, a new core menu featuring greater everyday affordability to ensure the brand remains accessible to as many families as possible, as well as some distinctive dishes with slightly higher prices to ensure Olive Garden remains relevant and compelling for guests where the what-you-get part of the equation is the more important dimension. In addition, these bolder improvement initiatives will also include a remodel that updates and refreshes the dining atmosphere in their 430 non-Tuscan farmhouse restaurants.  The advertising campaign and new core menu should be in market during fiscal 2013, while the remodels will begin in fiscal 2013 with an estimated completion by the end of fiscal 2015. Olive Garden opened 13 new units during the third quarter and is on track to open 35 to 40 net new restaurants this year. These new Tuscan farmhouse units continue to significantly exceed their sales and earnings hurdles. Red Lobster same-restaurant sales increased 6% during the third quarter, 340 basis points above the full-service restaurant industry benchmark. Red Lobster has delivered competitively superior same-restaurant sales since October 2010 when they began emphasizing craveable new seafood dishes and price certainty in their promotions, and that momentum continued during the third quarter.  They began the quarter advertising their Surf & Turf promotion, which featured 3 new steak and seafood entrées priced under $20. This was followed by the 4-course seafood feast for $15 promotion for 6 weeks. And then during the last 2 weeks of February, they began their signature Lobsterfest promotion, which is still running.  As Brad mentioned, the earlier start to the Lenten season and Lobsterfest promotion positively affected Red Lobster's February same-restaurant sales by 480 basis points. And as a reminder, Red Lobster's fourth quarter same-restaurant sales will be adversely affected because of the shift forward in Lent and Lobsterfest. Red Lobster remodeled 16 restaurants during the third quarter and is on track to complete more than 150 remodels this fiscal year. And remodeled restaurants continue to exceed their guest count and earnings growth hurdles. LongHorn same-restaurant sales increased 6.7% during the third quarter, which was 410 basis points above the full-service restaurant industry benchmark. LongHorn same-restaurant sales have now grown versus the prior year for 9 consecutive quarters and exceeded the industry benchmark for 13 consecutive quarters. These competitively strong results during the third quarter were driven by 2 successful promotions: the new lunch menu introduced during the second quarter and strength in advertising. The quarter began with the continuation of their Stuffed Filets promotion that featured their new Lobster Stuffed Filet and White Cheddar & Bacon Stuffed Filet. This was followed by the 5 Great Steaks, One Great Price for just $11.99 promotion that featured a new bacon-wrapped bourbon sirloin and garlic-herb crusted sirloin. And importantly, their new lunch menu is contributing meaningfully to profitable guest count growth at LongHorn. And given the lower check at lunch versus dinner, this dynamic was the biggest driver of the negative menu mix we reported for the quarter. New units at LongHorn continue to significantly exceed their sales and earnings hurdles. LongHorn opened 7 net new units during the third quarter, and they're on track to open 30 to 35 net new units this fiscal year. Now let me spend a moment to comment on the Specialty Restaurant Group. The Specialty Restaurant Group had another strong quarter with total sales of $178 million, which represents a nearly 28% increase over the same quarter last year and 21% of Darden's overall sales growth. Now this growth was driven by strong same-restaurant sales increases of 5.7% at The Capital Grille, 5.9% at Bahama Breeze and 6.1% at Seasons 52, as well as the impact of 10 new restaurants and operations at these 3 brands compared to the prior year plus the addition of 11 Eddie V's Restaurants.  In addition to delivering strong sales growth, the team also maintained effective cost controls, which has allowed restaurant level margins to continue to expand. The Specialty Restaurant Group remains focused on their key priority, which is to effectively manage accelerated growth while continuing to improve operational delivery and ensuring that their brands stay relevant. To support this priority, the Specialty Restaurant Group is developing a strong pipeline of new restaurant locations and improving the way they open new restaurants, making it a more efficient and effective process. During the third quarter, SRG opened one new Bahama Breeze. In the fourth quarter, they plan to open 1 Capital Grille restaurant, 2 Seasons 52 restaurants and 2 Bahama Breeze restaurants.  Now I'll turn it over to Clarence.
Clarence Otis: Thanks, Drew. So as Brad and Drew have said, this was a very strong quarter financially, and that's even more so when you consider that we still had quite a bit of commodity inflation from a year-over-year perspective. And so we were very encouraged by the strengthening that we saw at Olive Garden and by the continued momentum we had at Red Lobster, at LongHorn and within the Specialty Restaurant Group. And as our outlook for the full year suggests, we expect to deliver strong financial performance in the fourth quarter. And just as importantly, we believe we can perform strongly from a financial perspective well into the future.  Now as those of you who've followed us and the industry know, ours is a dynamic industry, and so there are going to be headwinds and tailwinds from year-to-year and even from quarter-to-quarter. Still as we've outlined at our recent Analyst Day, we have a compelling opportunity we believe at Darden.  Over the next 5 years, that opportunity represents the potential to add another $3 billion to $4 billion in revenues, another $2 to $3.50 of added earnings per share and the opportunity to return somewhere between $2.6 billion and $3.3 billion to our shareholders in the form of dividends and share repurchase. Some of this potential is driven by an increasingly cost-effective support platform that has realized more than $50 million in cost savings since fiscal 2008, and we think that we could get another $110 million in cost savings by fiscal 2016.  We also have a winning culture we talked about at the Analyst Day, and that is evidenced by exceptional employees across all of our brands who are just committed to the business. We were recently recognized by FORTUNE Magazine as one of the 100 Best Companies to Work For, and that was for the second year in a row. And that recognition really is a testament to the commitment and capabilities of our employees. And ultimately, that commitment and those capabilities are why we remain on track to our ultimate goal of becoming a great company, and it's why we're so excited about the future. And with that, let us turn to your questions. So let's get started.
Operator: [Operator Instructions] And our first question will come from the line of Brad Ludington from KeyBanc Capital Markets.
Brad Ludington - KeyBanc Capital Markets Inc., Research Division: I just wanted to ask a couple of things on -- first off with, a couple of quarters ago, you talked about Olive Garden having an income level of $30,000 and less, being about 1/3 of the sales, and that might be part of the strain. Have you seen an improvement in recent months in that segment of your customer base?
Andrew H. Madsen: I believe what we talked about was seeing a change in households with income below $50,000, kind of median household incomes, and that is an important segment for Olive Garden. But in the last quarter, we really need to look at more than just one quarter to see if a trend change has occurred. But we're certainly focused on building that aspect of their business.
Brad Ludington - KeyBanc Capital Markets Inc., Research Division: Okay. And then just one follow-up. On your same-store sales guidance and what happened in the third quarter with about 260 basis points of benefit, while still positive, I would assume you're guiding to a sequential slowdown in same-store sales trends because those benefits roll off in the fourth quarter, correct?
Clarence Otis: Yes, we maintained, I think, it's 2.5% to 3% for the full year, and so I'd have to back into what that is in the fourth quarter. It does mean a pretty broad range, I think, in the fourth quarter. We think that's appropriate given the environment we're in because if we look at the environment, if we step back and look at it, I'd say, last 2 years, it's been a slow improving trend inside casual dining. But that 2 years has also been marked by choppiness, and that choppiness has been based on consumer sentiment, it's been based on jobs headlines, gas and food price sort of shocks. And today we're seeing more of the same. So the underlying trend continues to be an improving trend, but there continues to be choppiness. So periods of strength followed by periods of weakness as consumer sentiment today is mixed with decent job news, but that's offset certainly by a spike up in gas and food prices. And so if you look at today's environment across the industry, it is somewhat weaker than it was during the holiday and immediate post-holiday period. And so that all, we think, warrants having a pretty broad range of estimates for comps for the fourth quarter.
C. Bradford Richmond: And Brad, this is Brad. Our guidance is still the same that we shared in February, but also remember the benefit that we got in the quarter from the Lent shift is going to reverse out in the fourth quarter. So we're going to make that up and still be on our original guidance.
Operator: We'll go to the line of Michael Kelter from Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: Yes, I wanted to ask about, again, and trying to get at what the industry is looking like today and what might have been just weather or what's underlying improvement. Anything you can give us to help us understand that, ranging from maybe geographic differences in how your same-store sales performed during the quarter, maybe in regions that didn't have a weather impact, or any changes in ordering patterns from consumers, anything to help us get an idea of what the industry is looking like would be helpful.
C. Bradford Richmond: I'll take a stab at it first. But I think if you back out weather for the industry for our third quarter, it was probably up roughly a point, and that solid’s comp, and so it continues to be -- and that's comping on improvement prior year, and so we think slow improving trends is what we're beginning to see.
Andrew H. Madsen: Yes, and I'd add from a consumer dynamic standpoint, the need for affordability continues, particularly in households that are more economically challenged, and we see that in a variety of areas. We saw it in a more pronounced way early in our fiscal year in terms of add-ons and negative check management. While we're still seeing some softness in add-ons and still seeing some check management continue, compared to what we've seen historically, it is not at the same elevated levels that we saw in the first quarter. Part of that is because we've taken proactive steps to introduce more news, but part of it could be on the consumer side as well.
C. Bradford Richmond: And on the geographical basis, obviously, in the northern climates, we saw more of an improvement there, mainly due to the weather. But even in areas that traditionally -- of the country that traditionally don't have much weather impact, California, Texas, Florida, those regions continue to build as well. So it's more broad-based x the weather factor, which affects more the northern part of the country.
Operator: We'll go to the line of David Palmer from UBS.
David Palmer - UBS Investment Bank, Research Division: I know you can't tell us very explicitly what you're going to be doing with your Olive Garden marketing, but perhaps you can elaborate a little bit more on the strategy, touch on any reasons why you're confident that your existing marketing pipeline will do what you expect it will do, because up and through a quarter or so ago, it felt like Darden was a little surprised by some of the outcomes on the marketing. And I know you've spent some of this last fiscal year doing things. If you could tell us what that is, that would be great.
Andrew H. Madsen: Well, the biggest change in the near term to Olive Garden's marketing is a difference in the way we're approaching our promotions. So for the last several years, Olive Garden has focused primarily on introducing new dishes, typically 2 new dishes in a promotion. And occasionally, we had a price point on those promotions. And I think what we've learned is that the environment has gotten more competitive, and to compete for consumers' attention, we need bigger ideas. So the biggest change is we're moving to what we've called a broader platform idea that, by itself, can capture more consumer attention than just 2 new dishes. So historically, Never-Ending Pasta Bowl is an example of a platform idea. Lobsterfest is an example of a platform idea. Stuffed Filets is an example of a platform idea at LongHorn. So this 3-course Italian meal is an example of a broader platform idea that, by itself, is more important than the new dishes underneath it, and it performed well. So that's the basic way we're approaching a change in promotions, broader ideas brought to life with new dishes, and we're going to be featuring brand-appropriate price points in those promotions going forward periodically to help address the need for affordability, but that's in the near term. We've also adjusted our advertising. So historically, we've talked -- a lot of our commercial has been spent telling a story about an experience that consumers have in our restaurants and how that makes them feel like family, and that story has incorporated a message about our new dishes. Now with this transitional advertising, we've toned down the story and elevated more of the commercial to focus on the platform idea, the dishes and the price points so that there's a more overt message of news and value that guests are hearing. So those are probably 2 biggest changes in the near term, but I'd remind you that over time, this is more than a promotional response, and it's going to involve core menu news. It's going to involve a different advertising campaign. It's going to involve a remodel to those non-Tuscan farmhouse restaurants, and all that's coming on a base for a business that we think remains very strong. And you see that in all the fundamentals we talked about at our analyst conference, average unit volume, restaurant returns, et cetera.
David Palmer - UBS Investment Bank, Research Division: And just a quick follow-up on the check trends. I mean, you just redid the value lunch, the $6.95 lunch at Olive Garden. If that -- if things -- if promotions like that work or value tiers like that work, are we going to be looking at a check decline, a meaningful check decline this year that might offset the price?
Andrew H. Madsen: No, we're not anticipating a check decline at Olive Garden. We are anticipating increasing traffic with a consumer set -- with a guest segment that's more affordability-minded, but -- and that's going to drive increases in total sales, in total margin dollars, as well as our EBIT margin. But we're not anticipating, not planning on a check decline.
Operator: And we'll go to the line of David Tarantino from Robert W. Baird & Co.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: Just first a quick clarification, Clarence. On the comments related to the industry outlook, it seemed to imply some softening recently, and I'm wondering if that's the case, if you meant to signal that. And if so, do you think it's more just a benefit from weather abating? Or do you think there's some real demand pressure on an underlying basis?
Clarence Otis: Well, I think as I was trying to discuss, and if you look backward and you take weather out of Knapp-Track third quarter x us, it's roughly 0.7% percent up, maybe up a point. That's pretty consistent with the second quarter, our fiscal second quarter. It's also pretty consistent with the fiscal first quarter. And really even as you go back into our last fiscal year, and that fiscal year was up about a fraction below a point as well, and so it's been -- and those are percentages on top of percentages. So it's been an improving trend, albeit slow. And through that period, there has been volatility around that trend line, and that volatility from month to month and season to season, x weather, primarily reflects headlines around economic strength or weakness. And so a lot of jobs data driving some of that, a lot of geopolitical headlines driving some of that, and it also has been affected by spikes in some important categories of costs like food and gasoline. And so that's been what we've seen, and I would say today we see more of the same. And so you've got a mixed picture right now because the jobs news is actually positive. But you do have the spikes in gasoline and food, and so we think, given that, because all of those things could change, the jobs picture could get worse, the spikes in food and gasoline could abate, that it's appropriate to have a pretty broad range as we look out to the fourth quarter and think about what the comps ought to be, and so that's where we are.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then, Drew, if I could just ask one clarification on Olive Garden. You mentioned that part of the strategy is to improve the value equation or the value perception, yet if I look at the February pricing factor at Olive Garden approaching 3%, just wondering if you could reconcile the increase in the pricing factor and your strategy to improve the value equation.
Andrew H. Madsen: Yes, the February year-over-year pricing is just a modest difference in timing versus the prior year. So we introduced some affordability-oriented items to the menu, and at the same time, we added some pricing to the menu. But for the full year, we anticipate our pricing to be very similar to what it's been historically, in that 2% to 3% range. So this isn't a ramping up in pricing in a meaningful way. It's just a difference in -- by a month in the introduction of news to the menu.
Operator: We'll go to the line of Will Slabaugh from Stephens Company.
Will Slabaugh - Stephens Inc., Research Division: I want to hit on Red Lobster quickly. Impressive run there. And as you look at lapping tougher comps, wonder if you could talk a little bit more about the promotional strategy there to help you lap those and to whatever extent you're willing to talk about expectations there.
Clarence Otis: When we think about Red Lobster, growing comps is a big opportunity for sure, but it's going to go beyond promotions. So the new advertising campaign that they've introduced, real people is doing a better job of communicating the quality of the products and the quality of the menu that people experience at Red Lobster, more so than prior ad campaigns. That's going to help remodels, continuing to roll out remodels aggressively in '13 and finishing in fiscal '14 is going to continue to help. We're working on meaningful core menu news for next year that's going to, we think, strengthen the same-restaurant sales trends that we've been seeing. And on top of that, we think they've got a promotion strategy that's resonating with their guest base that's about craveable dishes with price certainty, and that's got a big media investment behind it, and we're going to continue with that promotion strategy and add news to the dishes in it. But there's going to be a broader range of levers that we're looking at to maintain same-restaurant sales growth.
Will Slabaugh - Stephens Inc., Research Division: And as a quick follow-up there, the dynamic of menu mix across the restaurants, and in particular looking at the improvement at Olive Garden, especially in the final months, the strength at Red Lobster, and then you mentioned the lunch menu hurting LongHorn’s mix a little bit. I was wondering if you could just touch on those trends.
Andrew H. Madsen: So the menu mix at Olive Garden is really a reflection of a couple things: add-ons, which have been soft versus prior year, got better, particularly appetizers got better later in the third quarter when we added some appetizer news. We also added some nonalcoholic beverage news. That was important. We've seen a little bit less guest trading, as I mentioned earlier. It's still above prior year, but not to the same degree as it's been earlier in our fiscal year. And then the pricing of our 3-course Italian meal at $12.95 was actually couple of dollars higher than the pricing of the promotion we had last year. So guests are resonating to it. They feel it's a strong value because it's a compelling platform idea, but the pricing was actually higher than year ago. You already touched on the key dynamic at LongHorn, which is growth in lunch. And the only real difference in trend at Red Lobster was in January, where we had the 4-course seafood feast for $15 this year versus a Seafood Dinner for Two at $30 last year, essentially the same price, but we had more preference on the seafood feast this year. So the menu mix was basically flat in January, but it drove traffic contributed to earnings growth. So we were pleased with it.
Operator: And next, we'll go to the line of Joe Buckley from Bank of America Merrill Lynch.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Just a couple of questions. First, just a bookkeeping question. The 25% tax rate for the full year of fiscal '12, will that ratchet back up again next year? Or is that kind of a new run rate?
C. Bradford Richmond: No, it's going to ratchet up some as we look at next year, although there's a lot that we do on the tax planning and tax initiatives, and so we'll be able to keep that lower than many of our people in the industry, but it will ramp up some. We're still working through that. But probably closer to the 27% range at this point would be my best guess on that.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then I just have a couple of questions also on the near-term sales trends, I guess. As you think about Red Lobster for the fourth quarter, kind of in the context of your blended guidance and given the Lent shift, are you anticipating Red Lobster will be negative in the fourth quarter?
Andrew H. Madsen: Well, we do anticipate that there's going to be an impact to -- because of the shift in Lent and Lobsterfest being pulled forward. Last year, they were up 3.5-I-think-percent something like that, yes, 3.8% in the fourth quarter. We've got solid momentum at Red Lobster, and it's driven by more than just promotion as I mentioned. So I don't think we want to comment on an individual brand component of our total portfolio, but we feel good about the business and the trend it's on. But we do expect some year-over-year seasonality impact that won't be positive.
Operator: And we have a question from the line of Alvin Concepcion from Citi.
Alvin C. Concepcion - Citigroup Inc, Research Division: It looks like your blended guidance of same-store sales is around the 1% to 3% range next quarter, it was -- if you exclude weather and the Lenten shift, maybe it was around 1.5%. I know that's a broad range as you mentioned, but would you characterize the midpoint of the fourth quarter guidance as conservative given the strong momentum, particularly at Olive Garden?
Clarence Otis: ] No, I don't know that I'd characterize it as conservative, just because we're living through a fairly choppy time here, and things move, both in positive and negative ways without a whole lot of prior notice. And so I'd say given the environment we're in, we think it's a reasonable range.
Alvin C. Concepcion - Citigroup Inc, Research Division: And then you mentioned at the Analyst Day, I think, you weren't expecting a major impact to industry demand from the higher gas prices. Is that still your view, I mean, particularly among the more economically challenged guests you've been focused on?
Clarence Otis: Yes, I think as we look at it and you think about the way we plan our business, and we have annual plans and 3-year plans, over those periods, gas prices really aren't a huge factor. Now from quarter-to-quarter, they make a difference. But over those periods, they aren't a big factor. There are a lot of other things that are much bigger, employment growth being at the top of the list.
Operator: We'll go to the line of Jeffrey Bernstein from Barclays Capital.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Two questions. First, as it relates to Olive Garden, in the qualitative area of the press release you talked about the increase in profit margin and dollars, which we were pleased to see. Obviously, that's a net positive, especially in the face of more aggressive value promotions starting in late January. But I'm thinking that could be probably read in 2 ways. I'm just wondering whether you think it's more because the promotion was designed to still be profit accretive, or would you say, perhaps, the promotion did not drive the desired traffic, let's say, in February that you would have still -- we were expecting more of an uptick, perhaps, in the February traffic with the very compelling or what appeared to be compelling value promotion. And then I had a follow-up.
Clarence Otis: We were pleased with the performance of the 3-course feast at Olive Garden. It contributed to the improvement in guest count trend that began under the prior promotion Baked Pasta Romana, contributed to profitable growth in a percentage basis and absolute basis as you said. We saw the industry slow down a little bit in February, and that probably was reflected a little bit in Olive Garden's trend in February. But overall, we were pleased with the performance of it.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Okay. And then in terms of kind of the outlook, you said encouraged by strength at Olive Garden with the $12.95, and it sounds like you have other near-term value things going. So would you expect further sequential acceleration in the comp in fiscal 4Q at Olive Garden? Is that kind of your anticipation with the near-term value focus?
Clarence Otis: No -- we're tongue-tied. No, I think, again, we've got a range, a blended range for the 3 big concepts. It reflects a lot of variables. We think all 3 businesses have solid underlying business strength, and that range reflects that.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Okay. But I guess, through the first 20-some-odd days of March, would you offer up any kind of color? I know you don't often give by brand, but perhaps as a broader portfolio what you're seeing from a comp perspective just to frame the broader industry with all the choppiness we've been seeing lately?
C. Bradford Richmond: No, there's really nothing we'd say about the current method [ph] at this point.
Operator: We have a question now from the line of John Glass from Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: My questions relate to your margin targets that you outlined, first, specifically, in Olive Garden and then on the enterprise. At Olive Garden, it sounded like despite you had profit margin growth and profit growth this quarter, it sounded, Drew, in your comments that maybe 2013 the plan is to grow EBIT profit at the enterprise level through Olive Garden growth, but not necessarily restaurant level profit. In other words, margins -- margin percents may decline even if margin dollars grow. Is that your anticipated result from the promotional plan at Olive Garden in 2013?
C. Bradford Richmond: John, this is Brad here. And without going into great detail, I think we're going to look at balancing what I call the margin per guest, so after food and after labor. We believe we can be very successful in balancing it, sometimes pulling it back a little bit, with the ability to draw more guests in. But in the end, we would expect those to maintain or modestly build our restaurant level margins that we talked about. And from that, that would, obviously, build the company's EBIT margins. And so different promotions may go different ways, but in the end, restaurant and EBIT margins, we would expect to be equal, if not expanding.
John S. Glass - Morgan Stanley, Research Division: And then your comments about the enterprise and you've got this $110 million cost savings, I think, through '16, but you framed at the Analyst Day 2012 through 2016. So how much of that enterprise cost savings does -- do you think you're going to capture this year, and how much do you think you'll capture in 2013? Is it ratable? Or is it loaded one way or the other, front or back?
C. Bradford Richmond: No, there’ll continue to be gains this year. We haven't really gone into detail in the current year, but we would expect to add to that next year, probably not at the same rate though that we added at the current year.
Andrew H. Madsen: Yes, I think that's right.
Clarence Otis: So it's a bigger number in '12 than '13 to answer your question, yes.
Operator: And next, we'll go to the line of Matthew DiFrisco from Lazard.
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: Just following on some questions here with respect to the margins and the trend going forward. Red Lobster's margin, given the comp, was a little bit of a surprise that it wasn't on a percentage of -- as a percent, the margin that it didn't increase year-over-year. However LongHorn, with the same margin and what I would presume would be higher headwinds from commodity costs, did get leverage. Is there anything unique to Red Lobster or the promotional environment that's adding labor, or is this somewhat -- I guess I'm trying to figure out is, is this the successful strategy and something that might be what Olive Garden looks like if you start getting up in the 6% or so comps, I mean, are we -- could we see this being driven by incremental labor and other initiatives in the store when you talk about, aside from just limited time offerings and changes on the promotions, but also getting into changing the image and things within the store?
Clarence Otis: Yes, I'll start by saying no, it's not structural. So seafood inflation was pretty significant in the third quarter still, not nearly where it was in the first half, but we didn't price for that inflation. And I think that's what you’re seeing at Red Lobster.
C. Bradford Richmond: That's exactly it. It's kind of blurry because you can't see brand-by-brand detail, but that is the single factor there. Had that been more normalized inflation rate, there would have been significant leverage on a percentage basis as well.
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: That's great. And then also just as far as looking at the mix at Olive Garden, is it something controllable? And do you think is this now we're going to be able to stay around this sort of flattish level or continue to improve on it as you did in the most recent months? Or are you sort of beholden to what the consumer trends are and the fickle behavior of trading up and down check?
Andrew H. Madsen: Well, it's never totally controllable. We wish it were, but it's never totally controllable. But I think we can certainly influence that by what we advertise and what we offer on our menu. So we're offering more affordability that's resonating with more people that's driving the top line. Our year-over-year featured price points were actually a little higher at the end of the quarter as I mentioned earlier. So we certainly can influence it, and we're keenly focused on doing that. But it's never totally controllable.
Operator: And we'll go to the line of Mitch Speiser from Buckingham Research.
Mitchell J. Speiser - The Buckingham Research Group Incorporated: My question's on Red Lobster. And I know there was a lot of noise in the quarter with holiday shifts and weather. You did give us the monthlies, and it does seem like Red Lobster traffic for the quarter was up 1% to 1.5%. But then if you take out the weather, which you told us 200 bps, which I would think, primarily, hits traffic and then the Lent shift, it looks like that traffic on a normalized basis may have been down at Red Lobster, and that's despite the 4 for $15. When you originally came out with 4 for $15, it did spike traffic 10% to 20%. So my question is, am I looking at it the right way? It doesn't seem like you're too concerned about the Red Lobster traffic trends. Do you have any specific focus on uptick in traffic going forward because it seems like, flushing out a lot of things and even despite the 4 for $15, it looked like traffic, at least through my lens, looked a little bit soft?
Andrew H. Madsen: Well, there are a lot of moving pieces for sure in the quarter, and the moving pieces include some differences in checks. So I think the easiest way and the way we're looking at it is same-restaurant sales. And if you adjust for what you mentioned, weather, Lent, Lobsterfest, growth in December and January were both around 2.5%, 3%, which is a number that we would be comfortable with over time in terms of profitable same-restaurant sales growth from Red Lobster. It dropped a little bit to the high 1.6% or 1.7% if you adjust for all those things in February. And as much as anything, we think that was reflective of the overall industry slowing a little bit in February more so than anything that Red Lobster was doing.
Operator: And next we'll go to the line of John Ivankoe from JPMorgan.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: The question is on Olive Garden. I mean, especially given the experience that you had in February, and obviously, kind of an improvement in traffic, it's even on a weather-adjusted basis and mix being stabilized, I mean, I guess the question begs to be asked is why the kind of the $12.95 bundled meal option isn't the permanent option? I mean, if it works, why really change it and might that just be a precursor of what's going to come? So that, I guess, is the first question. And then secondly on SG&A, I mean, should we assume that there was actually less advertising spending quarter-over-quarter? Or were you able to manage the G&A line outside of advertising to make it be relatively flat on a year-on-year basis?
Andrew H. Madsen: Well, as it relates to the promotion, a 3-course meal for $12.95 is a pretty modest reduction from a discount standpoint, but a pretty meaningful value from a guest standpoint. So it was really the best of both worlds for Olive Garden. We were pleased with it. And while we won't comment specifically on what's going to happen in the future either on promotions or core menus, it did what we anticipated it would do. So we were pleased with it. And typically when something works, you think about doing it again at some point. And there wasn't any meaningful reduction in advertising for the quarter. I'm not sure about by month but for the quarter.
C. Bradford Richmond: John, this is Brad. On an absolute basis, it was up year-over-year, slightly a little bit of leveraging of the dollars, though.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: And was -- so therefore, there's management in other areas of G&A, and might that cost management continue in the future, or was that more of just a 3Q event?
C. Bradford Richmond: We continue to look at G&As, and we managed those pretty tightly. It's going to vary some, though, quarter-to-quarter, but we would expect for that to be leveraged as well.
Operator: We'll go to the line of Chris O'Cull from SunTrust.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: Drew, is the menu mix shift causing most of Olive Garden's food costs rising as a percentage of sales? Or has the company changed its approach to discounting and coupons and other mediums?
Andrew H. Madsen: No, we haven't changed our accounting for coupons, and the increase in food cost as a percent of sales probably reflects a little bit of commodities cost increase, and the price point at $12.95 probably contributed to it a little bit, even though it was a very disciplined promotion in terms of how we thought about the promotion and the price and the food cost of the new dishes because it did ultimately contribute to an increase in earnings in absolute dollars and percentage basis.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: So the company hasn't dropped any more coupons for the Olive Garden brand?
C. Bradford Richmond: No.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then I missed part of the last question, and you guys may have addressed this, and I apologize if you did. But was the SG&A improvement as a percentage of sales at Olive Garden a function of the leverage or reduction in the absolute SG&A dollars at Olive Garden?
C. Bradford Richmond: No, that would just be really more the leveraging of their additional sales. The dollars would be relatively close to the same.
Operator: We have a question from the line of Brian Bittner from Oppenheimer & Co.
Brian J. Bittner - Oppenheimer & Co. Inc., Research Division: Just back to the Red Lobster and the operating margin contraction there. Can you just give us an idea of what actual food cost inflation was in the quarter because you did have 3% pricing, and you had positive mix. Just trying to get an understanding of when you think operating margins there are going to turn as seafood costs ease and potentially become a tailwind for you guys.
C. Bradford Richmond: I'll speak to Darden as what we share there. If we just reflect back in both the first and the second quarter, we had about 8% year-over-year inflation. We talked about 6% in our last call, and we came in very close to that. And we're still looking for roughly 3%, maybe slightly lower in our fourth quarter. But that -- again, that's for the entire Darden basket.
Andrew H. Madsen: And the seafood component, the year-over-year mismatch between pricing at seafood in Red Lobster was substantial in the first quarter, and it's been reduced each quarter since then, and we would anticipate that it won't be a headwind next year.
Operator: And we'll go to the line of Sara Senatore from Sanford Bernstein.
Sara H. Senatore - Sanford C. Bernstein & Co., LLC., Research Division: I actually did want to follow up a similar question. For the overall business, you said 6%. When I look at the food and beverage costs, basically, the headwind looks like as if you had no benefit from net pricing. So if you just had 6% with no offset from price, I would have expected 170 basis points. So again, is there anything there with respect to mix shift across the different brands? And then I had a second follow-up, which was just on your commentary on February. Just trying to understand that. Actually looking at industry data, it doesn't look like February was slower overall in terms of comps. So I'm just trying to understand that, what you're -- if you're just talking about traffic or how to think about that.
C. Bradford Richmond: This is Brad, and I'll start with your first question. If you look at the mix of -- the brand mix, we do get a little bit higher food and beverage cost as LongHorn continues to grow. And with the strong sales success at Red Lobster, that does add to food and beverage line. But that's probably no more than 10 to 15 basis points. But because of each of those brands’ business model, we pretty much gained that back because both LongHorn and Red Lobster run a lower restaurant labor than Olive Garden. So it does affect each of the lines a little bit to your point, but to restaurant margins, it really doesn't make a significant difference there. And then on the same-restaurant sales question, I think what you see with the industry from Malcolm's information is his numbers include us. And so when we're talking here, we're talking about excluding Darden from that impact. So I'm suspecting that's the difference on your comment about our same-restaurant sales, talking about February versus what's been published out there.
Operator: We have a question now from the line of Keith Siegner from Crédit Suisse.
Keith Siegner - Crédit Suisse AG, Research Division: And, Brad, just a question for you kind of high level, looking at the gap between D&A and CapEx now, which has gotten to be several hundred million dollars and growing, and it gets even bigger as CapEx kind of picks up over the next couple of years. How should we think about D&A dollars over the next couple of years, closing some of that gap as CapEx picks up? I mean, and I ask because -- like if those dollars grow, should we think about D&A as a line item maybe even delevering? How do we think through D&A dollars?
C. Bradford Richmond: Yes, I think what you're seeing right now is -- the differential there is the incremental amount that's going towards remodels, and there's a lag between when you make that investment and you start to see the sales results. So that would typically raise depreciation as a percentage of sales basis, but what we've seen is that comes back down over time. You're also seeing a mix that's going on right now because these are accounting records, and so newer units have a higher investment base. There's more depreciation dollars that puts upward pressure on it. And we're also seeing the opportunity, which we're in favor of, to buy more of our new restaurant properties and those assets that go along with it. So those put some upward pressure there, but downward pressure on the interest cost. But it's not going to vary more than 10, maybe 20 basis points on a year-to-year basis.
Clarence Otis: Sara, this is Clarence, so back to your question because we do quote data that you don't see. So Knapp-Track x us in February was roughly 2%. While in January, it was 3.3%. And in February -- sorry, in December, 2.7%. And so that February number that you see externally, the 2.8%, is because we were at 6% in February. And so when you add that, it pushes the industry number that Malcolm publishes from 2% to 2.8%.
Operator: And we have a question now from the line of Bryan Elliott from Raymond James.
Bryan C. Elliott - Raymond James & Associates, Inc., Research Division: Just real quick looking at the food cost guidance from Analyst Day and getting some of the seafood breakout earlier this fiscal year, seems to imply that we should be expecting food cost to be a benefit to the P&L in the first half of the new fiscal year?
C. Bradford Richmond: Your math is working out pretty good. I would say somewhere around flat would be a good expectation for us.
Matthew Stroud: We're going to cut it off right there. We want to thank everybody for joining us today. If you have any additional questions, of course, we're here in Orlando available to answer them. We wish everybody a nice weekend, and we'll talk to you in a couple of more months. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation, and thank you for using AT&T Executive Teleconference service. You may now disconnect.